Operator: Good morning, and welcome to the Despegar's Second Quarter 2022 Earnings Call. A slide presentation is accompanying today's webcast and is available in the Investors section of the company's website, www.investor.despegar.com. There will be an opportunity for you to ask questions at the end of today's presentation. This conference call is being recorded. As a reminder, all participants will be in listen-only mode. Now I'd like to turn the call over to Mr. Luca Pfeifer, Investor Relations. Please go ahead.
Luca Pfeifer: Good morning everyone and thanks for joining us today. In addition to reporting financial results in accordance with U.S. generally accepted accounting principles, we discuss certain non-GAAP financial measures and operating metrics, including foreign exchange and neutral calculation. Investors should read the definition of these measures and metrics included in our press release carefully to ensure that they understand them. Non-GAAP financial measures and operating metrics should not be considered in isolation or substitute for or superior to GAAP financial measures and are provided as supplemental information only. Before we begin our prepared remarks, allow me to remind you that certain statements made during the course of the discussion may constitute forward-looking statements, which are based on management's current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to materially differ, including factors that may be beyond the company's control. This includes, but are not limited to, expectations, assumptions related to the impact of the COVID-19 pandemic and the integration and performance of the businesses we acquire, including Best Day Stays and Koin. For a description of these risks, please refer to our filings with the U.S. Securities and Exchange Commission and our press release. Speaking on today's call is our CEO, Damián Scokin, who will provide an overview of Despegar’s second quarter performance as well as an update on our strategic initiatives. Alberto Lopez-Gaffney, our CFO, will then discuss the quarter's financial results in more detail. After that, we'll open the call for your questions. Damián, please go ahead.
Damián Scokin: Thanks Luca and good day everyone. Thank you for joining our earnings call and for you interest in Despegar. We maintained a profitable growth trajectory during the second quarter, once again, our result evidence that we have the right strategy in place to effectively leverage Despegar’s leadership position and core competencies to fully exploit both research in travel demand in the near term and the long term dynamics that make Latam such an attractive travel market. And although we have been investing in expanding Despegar travel ecosystem to capture more of the market growth, we have maintained a lean cost structure that drives operating leverage. We are also successfully integrating into Despegar’s ecosystem, the targeted acquisitions that we have been making, whether it is organic or inorganic growth, we are gradually driving earnings power and increasing shareholder value. With that in mind, let us begin our review of the quarter with some financial highlights on slide four. Solid execution of our growth strategy delivered a third consecutive quarter of positive EBITDA as we continue capitalizing on improving market conditions, while also positioning our company to take full advantage of the longer term growth opportunities in Latam's massive travel market. Our winning business model and expanding travel ecosystem are enabling us to capture the still strong recovery in travel demand, particularly in Brazil. Strong transaction growth, combined with higher ASPs drove gross bookings just above second quarter 2018 levels. And while we grew revenue 113% to $134 million, we did so with a take rate in line with our long-term guidance. Alberto will talk about this later on. Operating expenses increased 37% year-on-year, as we stepped up marketing efforts to better capture rising demand levels and increase our market share. We also invested more in technology and product development in the quarter. Nevertheless, our operating expenses fell over five percentage points year-on-year to nearly 8% of gross bookings higher ASPs and an improving revenue mix, combined with the operating leverage we have built into the business resulted in over $10 million in EBITDA, our highest profit level since the outbreak of COVID-19. Also, during the quarter, we repurchased $5.5 million worth of Despegar shares, as another means to increase shareholder value and in light of the steep discount at which our shares were trading and continue to trade. In July, we bought back another $4.5 million worth of shares. Gross bookings grew 129% year-on-year to $1.1 billion and as I said, was slightly above second quarter 2018. Granted, second quarter 2018 is not 100% apples-to-apples comparison. Given the impact of the rebranding initiative that year, but is nevertheless a meaningful baseline measure. We successfully capitalized on recovering travel demand across Latam, with our domestic gross bookings exceeding those in last year's compiled quarter by 28%, while our international gross bookings grew 200%, which is 85% of comparable 2018 level. On the right side of the slide, you can see the geographic distributions of our gross bookings. Brazil accounted for 32% of total gross bookings, up 345% year-on-year, aided by 106% increase in ASPs and reaching 77% of second quarter 2019 levels. Mexico represented 22% of our gross bookings. They grew 17% although transactions decreased 5% year-on-year. Keep in mind that Mexico was one of the first countries to list mobility restrictions last year, meaning that pent up demand was lower than in other countries this year. Additionally, there was a decline in domestic flights due to price increases. Compared to second quarter 2018, our gross bookings in Mexico increased 26%. The rest of Latam accounted for 46% of our gross bookings, which decreased 160% year-on-year, but was slightly lower than the second quarter 2018 despite an 11% increase in ASPs. Turning to slide six, in addition to the complementary businesses that we have acquired to round out our product portfolio, and enhance Despegar’s overall value proposition for travellers, we’re stepping up investments in product development. Product, we will launch in the near future included early bird packages, which offer significant discounts for booking travel much, much further in advance than is customary. And our new product gives visitors to our travel sites the ability to freeze the price before actually booking travel, while still being able to take advantage of any price decrease in the future. And yet, another innovation is automatic adjustments to customers travel package, should any of the flights be delayed or cancelled. Building on past experience with other acquisitions, we have been successfully integrating Stays Brazil, leading channel manager in the vacation rental segment. Consistent with what we communicated during our investor day in June, through Stays, we have added 20,000 direct listings to Despegar’s inventory of vacation rentals. That equates to 42% year-on-year growth in our inventory. At the same time, we are now generating vacation rental sales outside Brazil, having learned Stays in seven new geographic markets. I will remiss if I didn't note here that we have already launched the full integration of Viajanet into Despegar’s technology platform. Viajanet is one of Brazil's largest OTA that we have acquired a large customer base into which we are now selling Despegar’s higher margin non-air product. We continue to innovate to provide a complete travel experience at the most competitive price. To that end, we have leveraged our best-in-class IT teams to develop a technology that allows us to compete on par with the market’s best OTAs in the miles intermediation business. Also, we continue advancing constructive conversations with our partner airlines to determine the most effective distribution strategy. During the quarter, we welcomed another 2.6 million customers to our loyalty program, Pasaporte Despegar that represented an 82% sequential increase in membership. As we've emphasized in the past, the Loyalty Program helps drive customer engagement and repeat purchases. I will now turn the call to Alberto, who will review our second quarter results in more detail.
Alberto Lopez-Gaffney: Thank you, Damián. As you can see on Slide seven, we maintained a take rate in line with our 12% to 12.5% guidance range, while growing revenue 113% to $134 million. Compared to second quarter 2019, revenue increased 18%. I would like to point out that the year-on-year and quarter-on-quarter decline in our take rate was due to the price promotions, specifically in Brazil and Argentina to capitalize on higher demand levels. Before discussing gross profit, a brief word about the reclassification of financial bad debt and the cost of revenue. Previously, we accounted for Despegar and Koin's bad debt under general administrative expenses. However, we determined that accounted for it as a cost of revenue will be consistent with Koin's strategic growth in helping expand Despegar's addressable market and increase customer conversion rates to grow revenue. In the second quarter, we recognized 3.8, a negative $1.6 million of bad debt for Koin and Despegar, respectively. This is shown in the light blue area of the bars in the bottom left graph on this slide. As you can see, the reclassified bad debt is reflected in each of the prior periods shown for comparison purposes. So as reported, cost of revenues increased 17.4% year-on-year, which was well below the 113% increase in revenue. Sequentially, cost of revenue grew just 6% compared to the nearly 20% increase in revenue. That leads us to gross profit, shown in red at the top of the lower graph. It increased nearly 15% year-on-year and almost 14% sequentially. We would also like to point out that gross profit increased 15% versus second quarter 2019, when gross bookings were essentially at the same level, which evidences the significant amount of operating leverage we have built into the business since then. Now let me please turn to Slide eight. Most of the 37% year-on-year increase in our operating expenses was due to the 120% increase in sales and marketing spend, specifically the price promotions that we implemented taking advantage of the spike in travel demand and helping drive gross bookings nearly 130% higher. As Damián also pointed out, during the quarter, we increased investments in technology and product development, which grew 17% in the aggregate versus last year's quarter. In addition to falling 516 basis points year-over-year as a percentage of gross bookings, our operating expenses decreased 4% relative to second quarter 2019. As you can see in the graph on the right, adjusted EBITDA went from negative $21.3 million in the second quarter of last year to positive $10.6 million. This also represented our third consecutive quarter of profitability. Given that the official FX devaluation is below actual local inflation, we estimate an impact of approximately $25 million on our cost base in Argentina, where the bulk of our operations are located when compared to 2019 levels. Moving on to Slide nine, we finished the quarter with a strong cash position of close to $275 million, giving us the financial flexibility to continue investing in growth initiatives such as technology, product development and additional build-out of our travel ecosystem. On this slide, we have broken down cash flow during the second quarter. We generated $4.2 million in operating cash flow, which compares to negative $0.7 million in last year's quarter and a positive $9.5 million in second quarter 2019. Operating cash flow included $4.7 million provided by working capital. CapEx and other investments totaled $10.3 million in the second quarter. Of this amount, $4 million was capitalized IT spend and $3.5 million that was reclassified due to the increasing relevance of third-party merchant loan receivables belonging to Koin. This resulted in the $3.5 million being reclassified under investment activities in the cash flow statement. Previously, they were accounted for under operating activities. The $5.5 million that we spend in buybacks in June contributed to the negative $1.1 million in the financing activities of the cash flow statement. In the aggregate, there was a net $11.1 million of cash used during the second quarter. This compares to the $9.8 million used in the second quarter 2021 and the $6.2 million of cash generated in second quarter 2019. Importantly, our year-end estimates for cash balance mentioned on prior calls remains unchanged. On the next slide is our outlook on the remainder of the year. While the regional and global economies are not without their challenges, current data and trends point to a sustained recovery in travel during the remainder of the year and into the next. That includes international travel, the pace of which we expect to pick up. And although recent inflation indicators in the U.S. are encouraging, it remains to be seen how successful central bank measures will be in other economies. Setting aside any additional inflationary pressures on our cost structure and given our top line growth and seasonal factors, we expect to maintain momentum on our positive adjusted EBITDA. Besides the operating leverage we have achieved, we will also benefit from further improvements from the cost synergies we are realizing with the integrations of Stays and Viajanet mostly behind us. In other words, Despegar's earnings power is growing stronger, and our 5-year EBITDA target remains unchanged. With that, let me turn the call over to Damián for closing remarks.
Damián Scokin: Thanks, Alberto. As I noted at the beginning of our presentation, we continue to execute well against our growth strategy. That enable us to capture additional near-term growth opportunities arising from the recovering travel demand, with gross bookings within second quarter 2019 levels and revenue surpassing that quarter's revenues by 18%. At the same time, the cost efficiencies that we have achieved to date drove operating leverage delivering third consecutive quarter of profitability. To summarize, we're effectively leveraging Despegar's regional leadership, winning business model and expanding travel ecosystem. That concludes our second quarter review. Operator, please open the lines for questions.
Operator: [Operator Instructions] We take our first question from Brian Nowak from Morgan Stanley. Please go ahead, Brian.
Kieran Kenny: This is Kieran Kenny on for Brian. Thank you for taking my questions. I had a couple. So to start off, some of your competitors talked about demand weakening into the end of 2Q and in early 3Q. Can you comment on bookings linearity throughout the quarter and then how July bookings look relative to May and June?
Damián Scokin: Hi, thank you very much for your question. This is Damián. What I would say that the Q2 surprised us positively when -- recovering much faster than we expected. While we see more recent periods is a sustained recovery, but perhaps not as strong, but the trend is extremely positive. So put in synthesis we see Q3 as solid not as strong perhaps as surprisingly strong as Q2 was.
Kieran Kenny: Okay, got it. And then -- so now with 2Q gross booking slightly above 2019 levels, if the expectation is that we see a sustained recovery from here such that gross bookings over the next three quarters remain above 2019 levels, would you expect to reach your $115 million EBITDA target on a last 12-month basis, early next year or so?
Alberto Lopez-Gaffney: This is Alberto addressing your question and good afternoon. Yes, the way we see this -- that by 2024, the market should be fully recovered, okay. What we said before is that by December next year, okay -- sorry, by December this year, the local markets will be on par with in a sustained way vis-à-vis 2019 and then the international market that will actually take place by year-end next year, okay. So from a run rate basis, the full year, okay, that will be more towards 2024. And by then, we actually do expect to get to the metric that you were highlighting.
Kieran Kenny: Okay, got it. Thank you. And then just one last one from me. Could you quantify the impact to take rate from discounting in the quarter and whether or not that level of discounting will persist going forward?
Alberto Lopez-Gaffney: Sure. Our take rate level of around 12% for this quarter, actually, as we mentioned earlier on the call today, actually shown additional pricing aggressiveness in two key markets, Brazil and Argentina, okay. And we actually did that tactically because we actually saw a market that was actually responding, and we certainly saw an opportunity to gain additional share. With regards to Q3, okay, we believe that the Q3 take rate will be slightly higher than the second quarter. And that is also based on how we're seeing competition and how we're actually seeing our position in each of the individual markets. So you should expect a higher take rate in the third quarter vis-à-vis the second quarter.
Kieran Kenny: Great. Thank you very much.
Alberto Lopez-Gaffney: You’re welcome.
Operator: The next question comes from Kevin Kopelman from Cowen. Please go ahead, Kevin.
Kevin Kopelman: Thanks a lot. Hey thanks for taking my questions. So, you mentioned that the macro environment is not without risk. Could you -- just give a little bit more color on how you see the macro environment in some of your key markets and kind of what the backdrop is here? Thanks.
Damián Scokin: Hi, Kevin, this is Damián. As the overall macro perspective, Latin America is going through the impact of higher interest rates in the U.S. and accelerated price inflation. Having said that, that's not a typical situation for Latin America. In general, the economies down here have the mechanisms to cope with that. But basically, what we'll see representing the impact on the exchange rate and how a higher interest rates, particularly in the U.S. will affect capital flows and money availability “in our markets”. As I said before, we are not seeing any signs of the recovery contracting. We may see a lower pace of growth, but we remain very optimistic on the pace of recovery that Alberto just summarized.
Kevin Kopelman: Thank you. And could you just -- could you give us more color on seeing as we're over halfway through the quarter, the gross booking trends that you're seeing quarter-to-date, maybe relative to 2019. Are you seeing that being slower than what you had in the second quarter or stable or improving? Thanks.
Damián Scokin: So far, we are seeing a stable trend without much difference from what we saw in Q2. The Q2, as I said, was a pleasant surprise in that the catch-up vis-à-vis 2019 was faster. But that acceleration doesn't remain, but we key percentage basis not far from where we were in Q2. Same level different acceleration [Indiscernible]
Kevin Kopelman: Thank you very much. That’s helpful.
Operator: [Operator Instructions] The next question comes from Alejandra Aranda from Itau. Please go ahead.
Alejandra Aranda: Hi, good morning. Congratulations on the results. I was wondering if you could give me a little bit more color on those marketing costs and what to expect going forward?
Alberto Lopez-Gaffney: Sure, Ale. Alberto here. Good morning. What we're seeing is, as you know, when we look at all the different value levers actually to drive traffic and more importantly, more than traffic profitability and actually transactions taking place on our website, okay, we play with four different levers, okay. We play with certainly with prices, promotions. We play with a marketing expenditure, financing and, of course, the loyalty program. So what we're seeing is that sales and marketing for the quarter and particularly for the upcoming quarter, we actually see a slight increase in sales and marketing. Again, that goes hand in hand with similar levels of gross bookings, okay. But as Damián pointed out, still strong demand but at the same time a potential -- very, very light slowdown. So certainly, as you think about that, you could actually see, let's say, between 10, 15, 20 basis points of higher marketing expenditure in Q3 vis-à-vis Q2. Overall, the situation remains very solid. And last but not least, important -- as we think about overall level of activity, important to understand seasonality. Like Mexico, given the Northern hemisphere positioning, you actually see that the situation from a demand perspective has already peaked at the beginning of August. So we have a softer end of the third quarter, while South America really picks up very nicely in the fourth quarter.
Alejandra Aranda: Okay, thank you. Can I ask you another question? Could you give us a little bit more color on what went on with Koin this quarter? We noticed that you did some changes on the way you account for costs there. So I would like to have a little bit more clarity on that and how much was actually the impact of Koin on your EBITDA?
Alberto Lopez-Gaffney: Sure. First, there's been a reclassification on the P&L, and we believe the reclassification that in a nutshell is pretty much moving the bad debt of Koin from the G&A section that we used to have that -- when you look at the Despegar stand-alone or all the different tourist brands, okay, G&A included bad debt. Given that the Koin business starts gathering momentum, we thought it makes a lot more sense okay to push up into the cost of revenue line item of the P&L the overall bad debt. So that's about the reclassification. Then that's a very simple one. Actually, it doesn't impact the overall profitability of the business just presenting it more accordingly to what's going on in the business. With regards to profitability at Koin okay, in the first quarter, I think we shared around $5.5 million of loss at Koin and we stated that we expect by the second half of next year 2023, Koin to be EBITDA breakeven. We continue in that path. The EBITDA Koin has decreased. Volumes at Koin are driving nicely, both at Despegar but particular with third-party merchants. So we are -- we confirm that we are in the trajectory of having an EBITDA breakeven for Koin as a standalone entity by the second half of 2023.
Alejandra Aranda: Okay. So in terms of the loss for this quarter, I should assume it was lower than in the first Q, lower than those 5.5?
Alberto Lopez-Gaffney: Positive. Yes, exactly. Ale. That's the case. We are in the trajectory to be EBITDA breakeven by the second half of last year -- next year, sorry.
Alejandra Aranda: Okay. And going forward, how should I think about those cost of revenues now that you moved Koin on to that line?
Alberto Lopez-Gaffney: Importantly, Ale, when you actually look at the earnings release okay, we have made the adjustment for all the periods. So we have normalized all the periods just to make it full apples-to-apples. So as the business grows clearly, but debt will grow given the volume. But very importantly, the asset quality of Koin is particularly strong. And when you actually look at take rate for Koin vis-à-vis the asset quality, that gap only increases, meaning you have higher profitability for a same certain level of nonperforming loans at Koin.
Alejandra Aranda: Okay. Thank you Alberto.
Alberto Lopez-Gaffney: You’re welcome.
Operator: The next question comes from [Indiscernible]. Please go ahead.
Unidentified Analyst: Yes, hi good morning. Thanks for taking my questions. I have two, actually. The first one is looking at the cash flow, the increase in loan receivables, this $4.4 million, is this related to Koin?
Alberto Lopez-Gaffney: Exactly. That's precisely the case, okay. So when you look at the cash flow from investing activities okay, given the financial nature of the business plus the fact that these are receivables with third-party customers not related to the -- they are not Despegar receivables that the Despegar receivables are accounting for -- are accounted for in the operating cash flow section of the cash flow statement, that delta is related to Koin.
Unidentified Analyst: Perfect, okay. So this is like the -- so this is your net growth in the quarter. And then the other line on the cash flow, the -- on the financing side, they collect on the inventory issuance, the $5.4 million. Is this related to the discounting of receivables in Brazil?
Alberto Lopez-Gaffney: That is also related to Koin, okay. And importantly, the way Koin finances itself is the Koin has a structure with private investors in which it actually discounts receivables just to manage its working capital, and that is that effect. You actually have to -- first, you have the investments in these loans, okay, that's how it appears the first line and then you actually have the negative impact of the securitization of those loans.
Unidentified Analyst: Okay. And what's the cost? This is CDI plus how much -- this spread? Just to understand the funding cost of Koin?
Alberto Lopez-Gaffney: Yes. It is -- as you might imagine, it is a CDI plus spread, okay, we don't disclose that.
Unidentified Analyst: Okay. Thank you.
Alberto Lopez-Gaffney: You’re welcome.
Operator: [Operator Instructions] We currently have no further questions registered. So Damián, I will hand it back to you.
Damián Scokin: Thank you very much, and thank you all for joining us today and for your interest in Despegar. We look forward to seeing you on our next call. In the meantime the team is, as usual, available for any additional questions you may have. Have a nice day.
Operator: Thank you all for joining. This now concludes today's call. Please disconnect your lines.